Operator: Welcome to Visa Inc.'s Fiscal Q2 2012 Earnings Conference Call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host, Mr. Jack Carsky, Head of Global Investor Relations. Mr. Carsky, you may begin.
Jack Carsky: Good afternoon, and welcome to Visa Inc.'s Fiscal Second Quarter Earnings Conference Call. With us today are Joe Saunders, Visa's Chairman and Chief Executive Officer; and Byron Pollitt, Visa's Chief Financial Officer. This call is currently being webcast and can be accessed on the Investor Relations section of our website at www.investor.visa.com. A replay will also be archived on our site for 30 days. A PowerPoint deck containing highlights of today's commentary was posted to our site prior to this call. Let me also remind you that this presentation may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. By their nature, forward-looking statements are not guarantees of future performance, and, as a result of a variety of factors, actual results could differ materially from such statements. These include setbacks in the global economy and the impact of new financial reform regulations. Additional information concerning those factors is available on our last 10-K on file with the SEC. It can be accessed through the SEC website and the Investor Relations section of our website. For historical non-GAAP or pro forma-related financial information disclosed in this call, the related GAAP measures and other information required by Regulation G of the SEC are available in the financial and statistical summary accompanying today's earnings press release. This release can also be accessed through the Investor Relations section of our site. And with that, I'll turn the call over to Joe.
Joseph W. Saunders: Thanks, Jack. And as always, thank you for joining us today. Visa delivered another quarter of strong financial performance, posting net operating revenues of $2.6 billion, a 15% increase over the same period last year. These revenue gains were driven by double-digit payment volume growth globally, continued outperformance of credit spend worldwide and a strong cross-border activity. Adjusted net income for the quarter was $1.1 billion, a 23% increase over the same period last year. This equates to adjusted diluted earnings per share of $1.60, a 30% increase over the second fiscal quarter of 2011. Our performance reaffirms Visa's solid business foundation and strategy, including our diversified product and service offerings, our strong client relationships and our commitment to accelerating growth in key markets worldwide. With 2 strong quarters under our belt and insight into our fiscal third quarter service revenues, we are upgrading our guidance for fiscal 2012 by raising EPS growth to high teens to low 20s and reaffirming our 2013 guidance. Visa's global business continues to expand at a healthy pace. A strong March quarter followed the solid results we posted in our first quarter and will drive service revenues in the current June quarter. During the March quarter, Visa's credit and debit payment volumes worldwide grew 14% and 7%, respectively. Cross-border volume also posted healthy gains, increasing 16% globally. Processed transactions grew 8%. In the U.S., payment volumes increased 6% for all products. Our star performer for fiscal second quarter was credit. Building on that, we continue to invest in new and expanded long-term credit relationships with our largest U.S. clients to drive growth in our core business. In fact, of the largest U.S. issuers that consider multiyear partnership agreements, we now have 9 of the top 10 signed into fiscal 2015 and beyond. From a volume perspective, that equates to more than 3/4 of our U.S. credit volume secured into 2015 and beyond. During the March quarter, we also continued to have success, winning important new credit business from multiple U.S. issuers. On the co-brand front, I'm pleased that Visa has finalized a multiyear extension of our successful credit co-branded partnership with Alaska Airlines, a portfolio that benefits from a large number of affluent cardholders and a high cross-border usage. Additionally, we are now seeing early results of our previously announced contract with United Airlines. As a reminder, the recent merger of United and Continental Airlines resulted in the consolidation of their credit card portfolios under MileagePlus, and the combined entity has chosen Visa as the exclusive brand for newly issued MileagePlus cards. As for acceptance, we are expanding our popular Visa Easy Payment Service, our no-signature-required program in the United States for selected merchant categories. Under our current program, which is available to the majority of merchant categories in the U.S., merchants have the option to complete purchases up to $25 without requiring a cardholder's signature or a PIN. Building on the success of that program, we see an opportunity to help our merchant and financial institution partners better serve their customers, reduce their costs and grow their businesses. That's why beginning in October 2012, we are raising the limit to $50 for discount stores and supermarkets with the intent of expanding this service to additional merchant categories over time. Now let's turn our attention to Visa's Debit business in the U.S. where the new regulations are now in full effect. After more than a year of thoughtful planning, we have moved beyond the April 1 full compliance deadline. The next several months will be dynamic and highly competitive, but I'm confident with our position and comprehensive strategies. So far, the situation is playing out as we expected, and in line with our updated guidance for fiscal 2012 as well as our guidance for fiscal 2013. During the March quarter, U.S. aggregate debit payment volumes slowed to 2% growth and, as expected, has continued to decline in April. Interlink is bearing the brunt of the regulatory impact. To really understand what's happening in our Debit business, it's critical to look at our 2 products, Visa Debit and Interlink, independently. Visa Debit, also known as Visa check cards, saw a modest, albeit slowing, payment volume growth during the March quarter. This slowdown resulted largely from U.S. issuers deemphasizing debit reward programs in their own marketing activities. Turning to Interlink. We posted negative payment volume growth in each month of the March quarter. More recently, between the compliance deadline of April 1 and April 28, Interlink payment volume has experienced notable deterioration. Keep in mind, though, that in the March quarter, Interlink contributed less than 10% of U.S. debit revenue and about 2% of Visa Inc.'s overall revenue and was our lowest yielding product in the U.S. market. We believe we will experience the greatest impact to U.S. debit payment volumes and recalibration of market share during our fiscal third quarter. Looking ahead, as our revised debit strategies steadily gain traction, we expect to see improving trajectory in our fiscal 2012 fourth quarter. For one, the new regulations provided us with an opportunity to add Interlink to existing cards that currently carry our competitor's brand. More importantly, our comprehensive, integrated debit strategy also focuses on winning issue replacement and incenting routing decisions. On the issuer side, not only have we maintained all of our major issuer relationships for the Visa Debit, we signed 14 of our 15 largest U.S. debit issuers to agreements that go until at least fiscal 2015 with the majority spanning beyond that. As for our strategies to compete for routing decisions, our incentive program for merchants is on track. We've taken a tailored and surgical approach to win strategic volume and offered competitive incentives to merchants. Overall, while we are still at the earliest stages, I am confident that our comprehensive debit strategies are working and put Visa in a position to compete effectively in the redefined U.S. debit market. Of course, in any period of substantive change, ongoing communication and clarification with key stakeholders is essential. To that end, we have been directly engaged with clients, merchants, policymakers and other interested parties that share our desire for a healthy, competitive and viable debit segment in the U.S. On March 13, prior to the April 1 implementation date, the U.S. Department of Justice Antitrust Division issued a civil investigative demand requesting additional information about PIN-authenticated Visa Debit and elements of our new debit strategies, including the fixed acquirer fee. In March, we met with the department twice and provided materials in response to the CID. We are confident our actions are appropriate and that our response to the DOJ supports that. But in a business as complex as ours, the department's request is not unexpected. Visa has received 4 other requests for information from the department since 2007, each of which took from 9 to almost 24 months to complete. All have been resolved with our full cooperation. We are continuing to provide materials and cooperate with the department. I will keep you updated if and when the situation warrants. So I will end my debit-related comments where I start. The impact of the regulation in the U.S. has been significant but almost exactly as we planned for. I am confident we fully scoped the impact of the regulation. Our updated guidance for the rest of fiscal 2012, as well as our guidance for fiscal 2013, take everything I've discussed into account. Bottom line, we are resetting our baseline economics for debit in the U.S. and positioning Visa to grow from here. And as I have said, throughout this process, we are fully engaged with our clients, we are focused on their needs and we are moving forward. Turning our attention outside the United States. We are steadily expanding Visa's international business and are ahead of our stated goal of driving 50% of revenue from international geographies by 2015. In fact, our international geographies posted healthy payment volume gains of 15% on a constant dollar basis in the December quarter, driving approximately 64% of Visa's revenue growth this quarter and now represent 47% of Visa's net revenue. Our Latin American region has experienced 9 consecutive quarters with payment volume growth on a constant dollar basis exceeding 20%. In fact, the March quarter delivered a solid 25% growth rate. We are seeing particularly good success in Brazil where we have reached an agreement with a large Brazilian bank that has traditionally maintained the majority of its business with one of our largest competitors. With this new agreement, we estimate that 50% of that client's card portfolio will be Visa branded in the next few years. We also recently reached an agreement with all of our major clients in Brazil that will dramatically increase the number of transactions over VisaNet. Today, about 63% of Visa's transaction in Brazil get routed over VisaNet. With this agreement, over 90% of our Brazilian transactions will route over VisaNet starting in the next few quarters. This important agreement directly advances one of our strategic goals: ensuring that a greater share of our transactions are processed on VisaNet. Simply put, carrying our own transactions on VisaNet delivers greater revenue to Visa. And, just as importantly, it allows Visa to deliver the overall benefits of the network and of our services, including better fraud detection and improved transaction quality to cardholders, merchants and our bank customers. At the same time, our Asia Pacific and CEMEA regions delivered a strong combined 16% payment volume growth for the 2 regions during the March quarter. This performance was driven by continued execution of our locally tailored growth strategies, which includes increasing penetration and usage of debit and premium credit products, expansion of our acceptance footprint and driving cross-border transactions. And to build on that, we signed several additional deals that will drive future growth in these rapidly expanding regions. On the innovation front, we have taken several steps to bring new products and solutions to market. Our innovation investments and acquisitions in CyberSource, PlaySpan and Fundamo are paying off and are allowing us to execute on our vision to introduce the next generation of commerce and electronic payments. This past quarter, we reached agreements with some of the world's largest mobile network operators and mobile device manufacturers to extend Visa's payment functionality to mobile subscribers. Vodafone, the second largest mobile operator in the world, plans to develop a virtual wallet with a Visa mobile prepaid account preloaded. The wallet will be offered to 390 million of Vodafone mobile subscribers in more than 30 countries. This agreement is the largest of its kind between a mobile operator and a global payments network. Orange telecom has agreed to offer their customers in 7 geographies across Africa and the Middle East a Visa prepaid account linked to their mobile phone number. At the same time, we continue to lead the way for broad adoption of Near Field Communication technology. Our previously announced agreements to license payWave technology to Google Wallet and Isis are 2 prominent examples, and we are actively engaged with handset manufacturers as they begin to deliver NFC-enabled devices to the marketplace. Examples of our progress from the most recent quarter include an agreement with Intel Corporation, which announced plans to make Visa payWave the standard payment application for Intel's soon-to-be launched mobile handset devices. Additionally, Nokia's new Lumia smartphone was tested in our labs and recently certified for use with Visa payWave. To further support issuers who want to advance NFC programs, we executed a deal with Oberthur Technologies to roll out Visa's mobile provisioning service, which provides issuers with a secure way to manage and provision credentials on any mobile device. It's been 2 years since we made the decision to acquire CyberSource, and I'm pleased to say that quarter after quarter, CyberSource continues to deliver exceptional growth and expand its e-commerce business around the world. For the most recent quarter, billable transactions totaled $1.3 billion, growing 26% versus the same period a year ago. At the time of the acquisition, we saw opportunity to further accelerate CyberSource growth by investing in that business and by co-selling Visa processing services and CyberSource merchant, gateway and fraud services. For example, in AP and CEMEA, we have successfully sold integrated solutions to major financial institutions, including Gateway Services and direct connect to VisaNet. Meanwhile, in Latin America, Cielo, which is one of the largest acquirer of processors in Brazil with approximately 70% of e-commerce volume in that country, announced its partnership with CyberSource to provide fraud management solutions to Brazilian e-commerce merchants. These examples demonstrate the effectiveness of Visa and CyberSource together, and we will continue to invest in this business to drive future growth. We continue to expect solid results in this part of our business as e-commerce growth remains strong in the U.S. and internationally. Perhaps one of the best examples to date of how Visa's acquisition assets are helping us introduce a new payment service is an agreement signed last week with Nexus, the largest telecommunications company in Malaysia. By combining Fundamo and CyberSource capabilities, we are providing Nexus with an integrated payment solution for use in set-top boxes that will enable consumers to purchase digital goods. Together, Fundamo and CyberSource fill the commerce need for a simple account checkout and authorization process. I'll close with perhaps the most comprehensive example of how we are a leader in the next generation of commerce, V.me. As a reminder, V.me is our next-generation digital wallet service and global acceptance mark, and another example of how we are applying our technology and expertise to deliver solutions that will benefit financial institutions, merchants and consumers. A year ago, I shared our vision for a service that would meet the evolving ways and places people are transacting by enabling customers to use one way to pay regardless of where they are or what device they use, while also delivering value-added services beyond payments like personalized offers and alerts. It was a big idea but one I knew we could deliver on. Today, I'm pleased to share that V.me is becoming a reality. The closed employee beta program I highlighted during last quarter's earnings call exceeded our expectations, and we are now applying those learnings as we open up V.me in public beta tests with selected merchants. This week, we are going live in beta with our first e-commerce merchant, reQ10sbuy.com [ph]. This is the first in a series of e-commerce merchants we expect to go live with between now and peak season. Our immediate priority is to drive toward consumer adoption, which will require engagement with both merchants and financial institutions. Bringing these groups together for a common purpose is a long-standing, core competency for Visa, and we are already making good progress. On the issuer side, we know our clients are working to deliver products and services that meet the needs and expectations of their increasingly digital customers, and we need to demonstrate that Visa is offering the best solution. As of now, we already have several large and midsized clients poised to offer V.me and are engaged in productive conversations with several additional clients. In parallel, we need to bring additional merchants onboard. To that end, our merchant sales teams across Visa, CyberSource and PlaySpan are moving quickly to build the V.me footprint. I anticipate that by the holiday shopping season, we will have enough merchants onboard to hold a full consumer launch in the U.S. It's an ambitious agenda, and flawless execution will be critical. I have every reason to believe we will be successful. And so to sum up, the examples I've highlighted today demonstrate that Visa is building off of our strong foundation, adapting to change and moving ahead. While the environment we operate in is both highly competitive and dynamic, we remain unwavering in our commitment to our clients, expansion of our core business, ongoing innovation and our guidance. Overall, I'm confident that Visa will be a strong, globally oriented growth company as we move ahead. And with that, let me turn the call over to Byron.
Byron H. Pollitt: Thank you, Joe. As is my practice, I'll begin with some overall observations and call-outs. First. Note that we recorded the quarter on an adjusted basis, having eliminated the positive effect to earnings from the remeasurement of our net deferred tax liabilities due to the change in state tax rate. This remeasurement accounted for an incremental $0.31 to GAAP EPS. We also saw a benefit in the quarter from the catch-up effect of the lower, ongoing state tax rate that accounted for another $0.05. Turning to our actual year-to-date results. The adjusted tax rate now reflects a run rate consistent with our full year guidance. Second. Visa's 15% net revenue growth in the second quarter was once again broad based and encouraging with solid 10% growth in the U.S. and an even more impressive 21% growth rate in Rest of World. Third. U.S. revenue growth has been supported by 4 consecutive quarters of double-digit credit payment volume growth. Most recently, through the 28th of April, credit payment volume growth has comped at a very healthy 11% rate, consistent with continued U.S. economic recovery. Fourth. As expected and fully contemplated in our 2012 guidance, aggregate U.S. debit growth, though modestly positive for the March quarter, will turn negative in the June and September quarters. The impact of regulatory changes, primarily on Interlink volumes, picked up momentum during the March quarter and accelerated in April. As Joe mentioned at the outset, these trends will need to annualize before we see a resumption of positive growth in this U.S. product category. Fifth. Client incentives for the quarter as a percent of gross revenue were 16%, below our full year guidance but in line with our expectations for the first half of the fiscal year. We expect higher incentive levels in the second half of the year as U.S. debit-related merchant and acquirer incentive agreements take hold. Finally, sixth. As Joe mentioned at the outset, we are upgrading our guidance for fiscal year 2012 by raising EPS growth to high teens to low 20s and reaffirming our 2013 guidance. To be more specific about what this means for 2013, we expect to see improving debit payment volume trajectory over the 4 quarters and revenue growth to accelerate off of 2012 levels. As for EPS, given this trajectory and the effect of lapping the regulatory impact, we anticipate, at this point in time, growth in the high teens. Now let's turn to the numbers. As is our practice, I will cover our global payment volume and process transaction trends for the March quarter, followed by our results through April 28. I'll then cover the financial highlights of our fiscal second quarter and conclude with our guidance outlook for the balance of fiscal 2012. Global payment volume growth for the March quarter in constant dollars was 11%, unchanged from the December quarter's 11%. Several call-outs. First, credit in both U.S. and Rest of World picked up 2 points of growth versus Q1; second, Rest of World debit picked up 4 points of growth over Q1; third, these upticks balanced out the drop in U.S. debit growth from 6% in Q1 to 2% in Q2, thereby maintaining our overall quarter growth of 11%. More recently, through April 28, which also represents the first 28 days of compliance with the April 1 deadline for 2 unaffiliated networks, U.S. payment volume growth sits at minus 2%, comprised of 11% credit growth and minus 12% for debit. While still early days, these results are tracking slightly above our beginning-of-year projections. Global cross-border volume delivered a solid 60% constant dollar growth rate in the March quarter with the U.S. growing 13% and the Rest of World, 17%. We continue to see very strong results from our Asia Pacific, Latin America and CEMEA regions, and the longer-term sustainability of these trends appears solid. Through April 28, cross-border volumes on a constant dollar basis grew 15% with a U.S. growth rate of 11% and Rest of World of 17%. Transactions processed over Visa's network totaled 13 billion in the fiscal second quarter, an 8% increase over the prior year period, in line with the 8% growth in the December quarter. For the month of April through the 28th, processed transaction growth was a negative 1%. Four call-outs. First. Visa-processed transactions are continuing to grow at double-digit rates for U.S. credit and all of Rest of World. Second. As expected, the brunt of U.S. debit regulation is impacting our Interlink product, where transaction growth turned negative beginning in January. Third. Given the April 1 compliance deadline requiring 2 independent networks, we expect the negative impact on transaction growth to accelerate and reach a high point in fiscal Q3 followed by an improving trajectory in fiscal Q4 of this year. Finally, fourth. As a reminder, transactions lost on Interlink primarily impact the data processing fee line as this type of transaction does not earn service fees. The impacts to date on Interlink have tracked closely to our beginning-of-year projections for transactions, revenue and earnings. Now. Turning to the income statement. Net operating revenue in the quarter was $2.6 billion, a 15% increase year-over-year. The foreign exchange impact on net revenue in the quarter was neutral. Moving to the individual revenue line items. Service revenue was $1.2 billion, up 13% over the prior year period. This is reflective of strong payment volume growth in the December quarter, the revenue from which is recorded in the March quarter. Data processing revenue was $922 million, up 12% over the prior year's quarter based on strong transaction growth rates for both Visa process and CyberSource transactions. International transaction revenue was up 17% to $733 million, reflecting continued strength in cross-border volumes with mid-teen growth rates in both the U.S. and Rest of World. As I highlighted earlier, client incentives for the quarter came in at 16%, below the range of our full year guidance. Looking at the back half of the year, our expectation is for a step-up, consistent with our full year outlook of 17% to 18%. Ultimately, the final number will be determined in large part by the success of our incentive strategies with merchants and acquirers. Total operating expenses for the quarter were $972 million, up 13% from the prior year. This was primarily due to higher personnel expenses and costs associated with our acquisitions and technology projects to support our growth strategies. Marketing expenses at $170 million reflect a heavier weighting to the second half of the year, timed with the global promotion of the London Summer Olympics. Our operating margin for the quarter was 62%, ahead of our full year guidance of about 60%. As was the case last quarter, this is largely due to the expense timing as we expect a second half ramp-up in incentives, investment spending and marketing associated with the Summer Olympics. Capital expenditures were $61 million in the quarter. Given an expected ramp-up over the back half of the year, we remain comfortable with our current guidance of $350 million to $400 million for the year. Our adjusted tax rate for Q2 was just under 33% after removing the effect of the deferred tax liability remeasurement. Our expectation for a full year adjusted rate in the 33% to 34% range remains unchanged. Coming off the heels of a very active fiscal first quarter, we were not buyers of our stock during the second quarter. As has been our practice, we remain conservative and patient in our approach, taking advantage of short-term market disruptions to obtain more attractive pricing. At the end of the March quarter, we had 673 million shares of Class A common stock on an as-converted basis. Fully diluted shares outstanding totaled 676 million. Finally, we are raising our 2012 fiscal EPS guidance to the high teens to low 20s range as a result of better-than-anticipated, year-to-date financial performance, forward visibility into service fee revenues given the quarter lag on their recognition, strong cross-border trends and early traction on our U.S. debit strategies. And with that, operator, we are ready to take questions.
Operator: [Operator Instructions] The first question comes from Jason Kupferberg with Jefferies.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: And I really appreciate all the color on the DOJ situation. I think that was very helpful. I was hoping you could talk a little bit about the new FANF fee structure, which I understand just went into effect about a month ago. But what's been the reaction from the merchant community now that we're actually in implementation, finally? And do you anticipate any roadblocks with the implementation there, putting the DOJ situation aside?
Joseph W. Saunders: Well, this is Joe Saunders. We implemented that on April 1, so there hasn't been any reaction because I don't believe the fee has been billed to anyone yet. Although [ph], there hasn't been a lot of reaction to it. It is part of our -- the total structure we've put to deal with the Durbin regulation. We are not making money per se off of that fee. The combination of discounts and incentives that we have put together, I think, actually relate in a modest loss in the amount of $100 million a year. So we aren't doing this with the intent of raising prices. I don't think that -- well, I don't -- I know that we haven't had any difficulties in getting the structure going, so I think we'll have to wait and see how everything works out.
Operator: Next question comes from Tien-Tsin Huang with JPMorgan.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Just a follow-up to that, on the CID. Does it in any way change your desire to utilize the, I guess, you call it FASB [ph]? Or is it business as usual there with that product? And also, just the service fee yield. Byron, it was up quite a bit more than what we had modeled. Was there a price change there or a reclass? Or maybe just a mix change? Any help there would be great.
Joseph W. Saunders: Why don't you go ahead?
Byron H. Pollitt: Yes, yes. Let me start with the second one, Tien-Tsin. So there has been a mix change. If you look at the payment volume growth, nominally it's 11%. And our service fee growth was 13%. So if I look at it that way, roughly 1% of the -- or roughly half of the increase has been a boost in yield because of the lower mix of Interlink transactions, as I think you were referring to, and the -- our hedging actually produced another percentage point of gain and the rest, I would say, is noise.
Joseph W. Saunders: As it relates to the strategies that we've implemented, we just implemented them. I don't have any desire to change what we've done. But we put these in place in anticipation of an environment, and we'll look at them and we'll monitor them and we'll change them if it's appropriate to change them. Otherwise, we'll continue down the path. I think that it would be safe to say that we were more successful in dealing with the -- our relationships going forward and we could have projected in the past. So we'll just have to look at everything and take it all into consideration and we'll do what's appropriate. Once again, though, I mean, I feel that the guidance projections that we've made for 2012 and 2013 are safe to support in almost any environment of things that might or might not happen.
Operator: The next question comes from Glenn Fodor with Morgan Stanley.
Glenn Fodor - Morgan Stanley, Research Division: Just so I have the pattern right, so we have -- PIN went negative in January, the PIN growth trajectory. Furthermore, we're a further step down after April 1. You have incentives increasing in the second half. But then you talk about the drag on the PIN growth is supposed to ease by September. So it hasn't anniversaried yet because we haven’t reached next January or next April. So is the logic behind that, just so I have it right, because you're expecting these incentives you're going to pay out to sort of get that volume back to you? Do I have that right?
Byron H. Pollitt: You have everything right except the PIN piece. The -- you're right, the -- it's going to take 4 quarters to annualize. So when we referred to a positive trajectory, what we meant by that was the impact of payment volume on lag year-over-year will have its greatest impact in Q3. We would then expect continued negative comparisons through -- until we annualized but at an increasingly less negative rate as we progress through the 4 quarters. That would also be true for debit-related transactions. So PV and transactions.
Joseph W. Saunders: Let me just follow up on that and make perfectly clear one thing. And that is that we are never going to regain all of the market share that we had in the debit card business. Nothing that we say or none of our strategies suggest that, that will happen or could happen or -- and nothing that we've done or thought about or said anticipates that it will happen. The environment has changed by regulation. We're operating in a different world, and we're going to live forever with less share than we once had.
Operator: The next question comes from Sanjay Sakhrani with KBW.
Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division: I guess I had a -- you answered my question on just the market share but maybe on share buyback. I mean, I guess you guys didn't buy back stock because you felt the stock was somewhat fairly valued. But, I mean, did -- should we assume that if the shares stay at these levels, you wouldn't buy back any more throughout the remainder of the year?
Byron H. Pollitt: No, you shouldn't. We are a committed management team to returning excess cash to shareholders. I think if you take a -- and so -- and we remain committed to that. If you would take a step back, we had a very large, in our view, very large share repurchase in the first quarter. And so we time our purchases over the course of the year, looking for both opportunities to do that at attractive pricing but also, in the case of the first quarter, being responsive to an opportunity to put a significant increment of cash into the escrow account. So I think if you take a step back year-to-date, we're all -- we've already made sizable repurchases, and you can count on us to continue to return excess cash not just for this year but years to come.
Operator: The next question comes from John Williams with UBS.
John T. Williams - UBS Investment Bank, Research Division: Just a couple of quick ones. On the marketing budget, just as we think forward into the rest of the year, regarding calendarization related to the Olympics, and any other things we might need to think about and -- as we look at the marketing line?
Byron H. Pollitt: I'm not sure what else to add other than every 4 years, we have a particularly attractive opportunity to put significant media into 2 quarters, which is the third and the fourth. And knowing that, that was the feature of what we want to emphasize this year, we kept -- we phased our marketing in the first 2 quarters in order to accommodate that. We will reset marketing from a bottoms up standpoint beginning next year and, in October, give you a sense of what that will look like.
Operator: The next question comes from Bob Napoli with William Blair.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Just Joe, I mean, just trying to clarify a comment. You said, on '12, '13 guidance, you thought it was safe under very -- under various circumstances. Are you suggesting that if you needed to adjust your strategy based upon the CID, that you still felt confident in your -- in the guidance? Is that -- am I reading that right or not?
Joseph W. Saunders: That -- the Department of Justice is certainly included in what I said, but it will include a lot more than that. But yes, absolutely certain.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. And, I mean, the CID, I mean, is mostly focused on -- I mean, I guess would you -- would you view it focused mostly on the 2% of revenue of that strategy, on that 2% piece of the revenue or more broadly?
Joseph W. Saunders: I mean, I don't know how to get into that specifically. You’re asked general questions about what you're doing to react to the legislation, and it's the Antitrust Division of the Justice Department. So obviously, they must have a concern that we were doing things that might undermine that and -- but I don't really want to go any further. I mean, I'm not them, and I can't say that. We have talked to them. We provide information to them. And we have obviously very seriously considered various things that may or may not happen, and we've taken it into consideration and in our guidance.
Operator: The next question comes from Moshe Katri with Cowen.
Moshe Katri - Cowen and Company, LLC, Research Division: You've had really impressive growth on the credit side, especially the acceleration we've seen from last quarter. Byron, maybe you can talk a bit more about the various moving parts in terms of the major drivers here? Can we talk about the consumer side versus the corporate side?
Byron H. Pollitt: Yes, our business is still largely driven by the consumer side for sure. The commercial side is growing at good rates. We are very encouraged by the numbers being posted on the commercial side because we think, first and foremost, that's a healthy barometer with regards to how businesses are doing and the continuity in the kind of payment volume growth we're seeing, particularly in credit. And if you take a look at the cross border, which is probably our most important leading indicator, the cross-border trends in both consumer retail as well as commercial are very strong. And so within -- and that is one of the indicators we look to when we put out our guidance, and one of the inputs that gave us confidence to raise our guidance for the year.
Joseph W. Saunders: Yes. On the consumer side, I mentioned in my comments the extension of our partnerships with a number of financial institutions that represent a significant portion of our volume. I mentioned the United-Continental arrangement, which is going to deliver new volume to us. I mentioned signing other financial institutions that we have done less business with in the past. I mentioned Alaska Airlines. And so the trajectory of what we're doing, we're very happy with, and we're very bullish about it. We're very pleased that this is happening at this opportune time.
Operator: The next question comes from Moshe Orenbuch with Credit Suisse.
Moshe Orenbuch - Crédit Suisse AG, Research Division: I hate to go back to the whole debit thing. But I guess I'm trying to understand how -- the market share loss is that extreme in the short run? I know the revenue impact isn't that large. But even in terms of just the transactions, if your -- if the process allows the merchant to route the transaction over the Signature network -- or has not yet been put in place? In other words, was that -- because otherwise, how is that market share loss that significant if that was already in place?
Joseph W. Saunders: The –- [indiscernible] you suggest wasn't started until April 14 and isn't fully implemented and won't be for several weeks.
Operator: The next question comes from Bryan Keane at Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: I guess I expected a decline in Interlink volume. But specifically, what's happened in Visa Debit volume that you expect in 3Q and 4Q? And I guess inside of that, how much of that is market share loss versus just banks maybe deemphasizing signature debit?
Joseph W. Saunders: It's hard to be a totally specific about it. I think that, that has leveled off, and we continue to look at modest growth. But right now, I would attribute the majority of it to the removal of all the rewards programs. I mean, there virtually are no rewards programs associated with debit cards anymore. And those programs did drive volume. And a de-emphasis in marketing these programs by the financial institutions. It's a combination of those 2 things that had an effect on it. There were some small pockets of cards that were put out that never had a PIN capability, and the regulation requires that, that change. And so people that simply couldn't use the PIN numbers, can now. Yes, it -- a combination of those 3 things, in our opinion, at this point in time is pretty much what's going on in the Signature business.
Operator: The next question comes from Andrew Jeffrey with SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Just to make sure I have this clear in my earnings addled mind, Byron, when you talk about total transaction volume in the back half of fiscal '12 in aggregate across the business, you're thinking about transaction volume being down, correct? And does that mix -- does the shift in mix away from Interlink change kind of what we should think about as the data processing yield as a consequence?
Byron H. Pollitt: Yes, it -- so my commentary on transactions was for debit, specifically, in aggregate. The -- what I think what will become increasingly important as we look at processed transactions is U.S. credit. And then, separately, what are we doing in the Rest of the World. And I think we indicated that we have very, very vibrant transaction growth rates in U.S. credit as -- and in Rest of World. And with regards to yield, we'll give this -- there is definitely going to be some disconnects in the way that you're -- that you look at this from a modeling standpoint because the -- I think one of the -- you heard this earlier. One of the natural effects of pulling out Interlink transactions is -- since it only affects the DP line, there will be a natural drop just because it will be generating last DP fees. But it's also removing payment volume for which there are no service fees. So that will actually boost the service fee yield on the transactions that remain. And we will give some thought as to how to talk about that with you all by the next earnings call to help sort that out. And if that weren't enough, we're going to take the -- I think we've already mentioned we're going to take the fixed acquiring network fee. And we're -- for the most part, that will appear in data processing as a line item. So we have some work to do to make this more transparent with regards to what will happen to those lines, what we think will happen to those lines. And we'll plan that for next quarter's earnings call.
Joseph W. Saunders: And as -- just as a reminder, the transaction loss in Interlink is coming from a business that a year ago generated 2.8% of our global revenue and last quarter generated 2% of our global revenue. It gives you an idea of the notion that there are different yields upon different types of payment volume.
Operator: The next question comes from Len DeProspo with Janney.
Leonard A. DeProspo - Janney Montgomery Scott LLC, Research Division: This is a question with regard to sort of the advertising promotion expense. I think the Olympics are going to happen entirely in your fourth quarter, but I assume you all will be doing some spending out of that. So could you just help us break out how much of that incremental spending will occur in the third quarter versus fourth quarter, maybe just percentage split?
Byron H. Pollitt: Yes, we don't typically provide that. But you are absolutely right. There is a considerable amount of promotional activity done with our banking partners, which has actually -- some of which actually started in our second fiscal quarter. It really ramps during the third quarter. And then in the fourth quarter, you have the last of the broadcast media that is fairly intensive around the Olympics themselves. So to be helpful here, we are holding -- we've said we are holding to our existing marketing guidance so that you have an order of magnitude and you now have 2 quarters in the can. And in terms of what our full year results are likely to be, I think we've bounded that pretty well. And between the quarters, we just -- as I said, we typically just don't break that out.
Joseph W. Saunders: Yes. You should also think about the fact that the advertising we do in the third and the fourth quarter supports the programs that many of our financial institutions initiate around the Olympics with Olympic theme cards, and that those initiatives generate more particularly credit card volume, which is the reason that we do this. We have, I think, almost -- on a global basis almost 3x as many financial institutions participating in promotions this year as we did 4 years ago.
Operator: The next question comes from Julio Quinteros with Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Guys, just to go back to the 2013 commentary, Byron, can you just walk us back through both the revenue expectations and the EPS expectations? I want to make sure we have the -- both of those numbers there correct.
Byron H. Pollitt: So on the revenue, what we said was our expectation is that revenue in '13 will grow off of 2012 levels. So whatever the growth rate in revenue is for 2012, everything else being equal, we would expect it to be somewhat higher in 2013. With regards to EPS growth, if you recall, back in the October earnings call when we reaffirmed the '13 guidance, what we said was we expected EPS to also grow off of 2000 levels, but our expectation at that point, and our guidance at that time on 2012, was that EPS would grow mid to high teens. We are now at high teens, low 20s. And as we indicated in the earnings call back in October, there were a number of components that got us to that EPS growth, one of which was a favorable step-down in our ongoing tax rate. And that represented plus or minus 5 percentage points of EPS growth. And so as we began to, in effect, outperform during the course of the year and raise our guidance, we wanted to make it clear that when we talked about 2013, our expectation was more high teens, recognizing that it wouldn't be likely or possible for us to lap that same kind of tax improvement on EPS, and that way, we'd be substituting instead operating earnings for that tax benefit that we received in '12 that wouldn't expect to duplicate in '13. And so that's why we want to make very clear that, at least at this point in time, our earnings growth guidance should be in the high teens range.
Operator: The next question comes from Tim Willi with Wells Fargo.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: I wondered if I could just ask a question around the commentary around processing transactions in Brazil. Curious to what extent this has some impact on the conversation around revenue yield, if it's something we would notice if that ramps up over the next couple of quarters. And in conjunction with that, is there further opportunity with bank partners or other services around this agreement to continue to improve that yield if that relationship would mature further in years?
Joseph W. Saunders: The increase in processing on VisaNet in Brazil has a -- does have an effect on our yield because we're going to be receiving revenues for transactions going over VisaNet that we didn't before. It's going to ramp up over a period of time. I don't think that we're in position right now to tell you how that's going to affect our global yields or our global -- or even our global revenues in the short run. We're very excited about it because it puts us in a position in Brazil similar to the United States where not only are we going to be processing more transactions but we will be able to deliver other revenue generating services. And I think that you'll begin to see that manifest itself in our 2013 projection.
Operator: The last question does come from Chris Brendler with Stifel, Nicolaus.
Christopher Brendler - Stifel, Nicolaus & Co., Inc., Research Division: One clarification, Byron, in response to an earlier question, I think, on the service fee yield, the service fee as a percentage of volume. You had said it's a –- it’s a mix -- or about half of it is a mix issue and the other half is hedging. Just so I understand right, service fees are not earned on Interlink. So the mix we're seeing there is the -- dividing by a lower denominator? Is that what's causing the mix -- the issue -- that yield to go up? And then my unrelated question would be on V.me, do you expect to have anything in your marketing budget or any significant amount on your budgeting for that fourth quarter Christmas holiday launch? I mean, is this going to be a pretty significant launch this year? Or is it going to be more of a soft launch?
Joseph W. Saunders: You go ahead.
Byron H. Pollitt: Yes, let me take the first one. Yes, you have it right. What we have -- when you remove the Interlink transactions, you're removing transactions from the denominator, but you're not touching the service fees. So the yield automatically starts moving up.
Joseph W. Saunders: As it relates to V.me, we will have -- certainly have some advertising in that. But the advertising that we will do will be in conjunction with merchants that are coming on to the network and through financial institutions to encourage their customers to enroll. So I guess in that regard, it would be soft here, and, I guess, you mean [ph] national TV advertising in the fourth quarter.
Jack Carsky: And with that, we want to thank everybody for joining us. And if anybody has follow-up questions, feel free to give Investor Relations a call. Thank you.
Operator: Thank you for your participation in today's conference call. The call has concluded. You may go ahead and disconnect at this time.